Operator: Ladies and gentlemen, thank you for standing by and welcome to the Dassault Systemes First Quarter 2014 Financial Results Call. [Operator Instructions] I must also advise you that this conference is being recorded today. I would now like to hand the conference over to François Bordonado, Investor Relations. Please go ahead, sir. I'll be standing by.
François-José Bordonado: Thank you, Gaito. Thank you for joining Bernard Charles, CEO; and Thibault de Tersant, CFO, for our 2014 first quarter conference call. Our webcast and presentation was held in London earlier today and the presentations can be found on our website. Several brief reminders before beginning. Dassault Systemes' financial results are prepared in accordance with IFRS. We have provided supplemental non-IFRS financial information and reconciliation tables in our earnings press release. Some of the comments on this call will contain forward-looking statements, which could differ materially from actual results. Please refer to our Risk Factors in today's press release and in our 2013 Document de référence. In addition, some of the comments we will make on this call with respect to our pending acquisition of Accelrys will contain forward-looking statements, which could differ materially from actual results. On February 13, 2014, Dassault Systemes filed with the SEC a tender offer statement on Schedule TO regarding the tender offer described on this website. The stockholder of Accelrys are strongly advised to read the tender offer statement, as updated and amendment, filed by Dassault Systemes because it contains important information that Accelrys stockholders should consider before tendering their shares. The Tender Offer statement and other documents filed by Dassault Systemes and Accelrys with the SEC are available for free at the SEC's website and may be obtained at no charge by directing a request by mail to Innisfree M&A Incorporated, 501 Madison Avenue, New York. On the call today, revenue growth figures are in constant currencies, unless otherwise noted. I would like now to introduce the call to Bernard Charles. Bernard?
Bernard Charles: [French] Thank you for joining us here, and the webcast held earlier today. This morning, we reported first quarter financial results well in line with our objectives. We saw a better evolution of new license revenue than we had anticipated, driven by solid organic growth. And our focus on operational improvements was clearly visible in our operating margin on earnings per share performance, well, at least to our objectives. While the end markets we are serving have different dynamics, in total, we are seeing further positive indicators, which support our 2014 financial objectives, in line with what we shared in February. We have a number of V6 Go lives, most visible in ENOVIA's performance this quarter with double digit software revenue growth. We are very, very engaged with our social industry experience strategy, demonstrated by our 2014 Accelrys, an introduction of first of industry experiences. Today, I will share with you some of our progress focusing on the High-Tech industry, where we are increasing our market presence. We are formally expanding our purpose of sustainable innovation to harmonize product, nature and life, with the pending completion of the Accelrys acquisition, in combination with our internal research and development. And we are expanding on our user communities in engineering, simulation, manufacturing, marketing and sales. Operationally, we are strengthening our geo-organizations around world to ensure that we have the right balance of local empowerment for our 12 geo-teams. We are also strengthening our coordination at the level of our 3 reporting regions with the appointment of Laurent Blanchard to head up Europe and to lead our growing alliances globally. [indiscernible] consultant on System Integrators Partners. He joined Bruno Latchague based in Boston. Bruno will be responsible for the Americas and Sylvain Laurent for Asia. And Sylvain is based in Shanghai. Finally, we are reconfirming our 2014 financial objectives on updating for Accelrys on currency evolution. Looking briefly at the financial results. The highlight of the quarter was the return to new licenses revenue growth increasing 8% with double-digit growth in Asia and Europe, from a regional perspective and from a product life perspective. This was led by ENOVIA. Total software revenue increased 6% with mixed results for recurring softer revenue. Our total revenue increased 9% as we now have significantly larger base of service on consulting revenue, reflecting the engagement RTT with each customers in digital marketing. Our non-IFRS operating margin came in at 27.7%. Our earnings per share was EUR 0.73, both better than our objective, thanks to the focus on driving organic margin expansion and also benefiting from a onetime tax credit. In February, we said there were a number of V6 Go live per head, and this is quite visible in ENOVIA's performance where software revenue increased 12% in constant currencies, on new licenses revenues growth of 55%. Almost 70% of the ENOVIA's new license revenue came from V6, clearly demonstrating the value of these solutions to customers in a wide branch of industries, including automotive with Jaguar Land Rover and Renault group, and in consumer packaged goods with Procter & Gamble. In addition, in our presentation today, we shared several client examples in greater depth. First, in the other sector, Hyundai Heavy Industries Offshore and Engineering division has adopted our 3DEXPERIENCE platform on Industry Solution Experiences including Designed For Sea and On Time to Sea. Thanks to integrated program management enabled by our solutions, they will be able to improve the time to market and on-budget delivery for the complex offshore structures. Secondly, thanks to the ability to connect requirements, regulations and offshore engineering, the entire design process is improved. ENOVIA's application processes are instrumental to achieving these business objectives. A second example comes from a leader in recreational sport vehicles on propulsion, where Bombardier Recreational Products, BRP, is using our 3DEXPERIENCE platform, based upon our V6 architecture with CATIA applications, ENOVIA applications that makes up the industry solution processes. Thanks to the unified, scalable and smart platform, we enable for new product development processes. BRP is positioned to improve sales, margin and product quality. At the same time, it is also able to improve operational excellence around the product, thanks to the ability to accelerate early-stage validation, improved traceability and benefit from the reuse of critical information. My final example is also in energy with Alstom Wind, a division of Alstom Renewable Power. The company has adopted our 3DEXPERIENCE platform with ENOVIA industry solution processes. ENOVIA is critical to helping achieve 4 principal business objectives, including managing efficiency, product data in a multi-CAD context, which ENOVIA does very well. Support collaborative design across an extended enterprise, manage and track highly customized product. And in total, help the company achieve its growth objectives. Turning to industries. We are seeing a return to growth of several of our industries, including our largest, transportation and mobility, as well as in a number of sectors. Today, as I mentioned earlier, I would like to focus some time on High-Tech, an important market for us representing about 10% of end-user software revenue. High-Tech is an enabler for a number of industries as being driver of innovation, thanks to the inventions introduced in High-Tech. As an industry, High-Tech has some unique challenges. On the one hand, they compete with competitors. On another hand, they need collaboration with the same players, and with that, those same competitors, given the very high-cost of software assets, for instance, semiconductor apps. Similarly, the industry is focused on mass production, while also focused on mass customization. Our solution are very well suited to the sector as we foster collaboration, while protecting the intellectual property, for example. High-Tech has undergone enormous challenge and changes. Today and into the future, new classes of smart and connected products are being developed. And the High-Tech industry is enabling all of these, helping customer boost companies connect the home to the Internet and life science companies connect products and patients to doctors and hospitals. Automotive companies are connecting their cars to the automotive dealers, and a whole house of products connecting back to the company's themself that produced these new products and services. As a result, this industry is under constant pressure to create an environment in which it can foster continuous, rapid, profitable and sustainable innovation. And to do so, High-Tech companies have to build ecosystems by bringing together hardware, software, clouds, services and content. To help them, we have introduced a number of industry solution experiences: Imagination Wave, designed to improve new product and productions; Silicon Thinking, to help manage technical complexity for semiconductor customers; High-Tech Body, to drive from imagination to manufacturing, particularly focused on plastics parts; and our Smarter, Faster and Lighter industry solutions experience, for perfect multidiscipline coordination. Looking at our customers, let me share some examples. The first example is Atmel, deploying an integrated platform that embeds best practices for the semiconductor industry with a single version of truth to decrease misbuilds and improve manufacturing processes and to reduce manual inputs on reporting, thanks to the automation and stabilization of business processes. Parkeon, a major player in urban mobility with the parking management and public ticketing solution, is deploying Exalead Search-Based Application to transform big data into scientific data. Imagine that each parking machine is sending one record every 10 seconds, managing 3 billion pieces of data. Alongside our decision 2 years ago to implement an industry go-to-market strategy, we also created 12 geos underneath our 3 agents in order to increase our local knowledge and presence. As a large and growing corporation, we want to benefit from operating as one company in order to leverage best practices and leverage our operations. At the same time, we want to add a strong understanding of our markets at the local level to be able to work closely with both customers and partners and to better coordinate our efforts across our 3 sales channels. Over the last year, we have been strengthening these teams and now have put in place this 3 regional heads to coordinate and lead to local geo efforts within their respective regions. Each of these executives is physically located in their region. As I said, Bruno Latchague, Senior Executive Vice President, Americas market and Global Sales Operation, is based in our Waltham Americas headquarter. Sylvain Laurent, Executive Vice President, Asia-Pacific market and Global Business Transformation Leader, is based in Shanghai. And we are pleased to announce that Laurent Blanchard joined as our Executive Vice President of Europe, Middle East, Africa and Russia and Worldwide Consulting & System Integrator Alliances. In his role, system integrators will take on more of the implementation of our solutions in order for us to be able to replicate our customer success stories on a much larger scale. As part of our global company with a local reach focus, we have decided to move to an European legal entity as Dassault Systemes SE, Societas Europaea. As you saw this morning, we have received the CFIUS approval and we'll be moving to close the Accelrys acquisition very shortly. I would like to recap for you several key points to keep in mind: First, this acquisition is more than complementary. Accelrys fits very well with our mission, harmonize product, nature and life. Sharing a passion for scientific innovation, we believe, together, we can offer a unique and unmatched scientific product life cycle management solution with a new paradigm, process and ability, where chemistry, materials and biology meet, delivering scientific industry solution experiences. And it's clear that customers wants to add an integrated solution. And with our 3DEXPERIENCE innovation platform, unique ability to integrate different disciplines and scientific focus in a common -- in common, we can help Accelrys accelerate their shift to industry solution experiences. Second, the acquisition strengthen our offering for life science and formulated-based industries, in addition to benefiting other industries such as High-Tech, where in High-Tech, new materials are key enablers. Let me remind you that Accelrys works with 29 of the top 30 biopharmaceutical companies, 5 of the top 5 chemical companies, 3 of the top 5 consumer packaged goods companies. And so, the acquisition is well timed as we will be introducing shortly our first offering in bio-intelligence for the pharmaceutical industry following an intensive multi-year period of research and development. We look forward to officially welcoming Accelrys Chief Executive, Max Carnecchia, and his 750-person organization, shortly. At this point, let me turn the call to Thibault.
Thibault de Tersant: Good afternoon or good morning to you, all. My comments today are based upon our non-IFRS financial results. In our press release, the tables you can find the reconciliation of our non-IFRS to IFRS data. In addition, revenue growth rates are stated in constant currencies. New licenses revenue increased 8% in constant currencies, and this was well supported on an organic basis with growth of 6%. A number of our product lines contributed to this growth led by ENOVIA. Recurring revenue had a mixed dynamic. Looking first at maintenance. Renewal rates remained strong, but maintenance growth rate reflect the large impact of lower new licensing activity in 2013. On the rental side, we saw a slight decrease from last year at this time coming from some larger accounts, adjusting rentals to workloads in engineering. SIMULIA, posted solid results and our rental activity was unchanged in our value saving channel. On a regional basis, Asia was the strongest performer with revenue up 10% led by Japan, South Korea and China. Europe had growth in all major regions led by the United Kingdom and Sweden. In the Americas, services from acquisitions were a key driver of growth and on the new licenses side, our business transformation channel saw a very nice growth. By product line, we saw the strongest revenue performance in the first quarter from ENOVIA with software revenue up 12% and a very significant increase in large deployment and a number of Version 6 Go live. By region, CATIA had an excellent quarter in Asia led by Japan and China. SOLIDWORKS grew 5% in the quarter, benefiting from strong renewals for both SOLIDWORKS and multiproduct sales. In total, units we're lower by 4% on strong growth in Asia of certain part by mixed results in Europe and Americas. You will note, looking at the presentation, that we rebalanced the VAR margin to favor new licenses revenue growth somewhat more, leading to the VAR margin increasing from 45% to 48% on average and this for new licenses. Other sector increased 13% and included new acquisitions. I am pleased to report that SIMULIA continued to perform very well with double-digit growth. Acquisitions were the driver of growth in services revenue, which increased 40%. And they also contributed to the gross margin improvement of almost 14 percentage points to 12% from a slight loss in the year-ago quarter. Turning to our profitability. In February, we indicated that our focus during 2014 would be on increasing the organic operating margin by about 150 basis points. We made good progress in the first quarter with an organic growth improvement of 100 basis points coming from expense control and services gross margin improvement. Looking at the evolution of the operating margin. On top of the organic improvement, we benefited as well from a onetime R&D tax credit, representing 130 basis points. Currency, on the other side, had a negative impact of 140 basis points and acquisitions are temporarily diluting margins by about 220 basis points. All in all, these 4 factors explain why the operating margin is lower by 130 basis points. Excluding currencies and exceptional items, the non-IFRS operating margin would have been 30%. At the EPS line, where we reported a 6% decrease, currency represented a 9 percentage point swing and the higher effective tax rate took an additional bite off our results of 4 points. Turning to our cash flow. It was relatively stable at EUR 182 million versus EUR 185 million in the year ago quarter. If you look more closely at working capital evolution, most line items were positive. We are, however, absorbing an important tax reassessment payment made in the first quarter of about EUR 20 million. And looking ahead, we may have a more substantial payment to do. We are disputing the French tax authority's claim and we will, of course, defend our position, which we believe is well grounded. And earned revenue was higher by 8% excluding currency effects, as well as acquisitions compared to the year ago quarter, so a very solid evolution here. Turning now to our financial objectives. We are reconfirming what we stated in February from an activity perspective, and we are updating the objectives for currency and for the addition of Accelrys. Looking first at our full year outlook. With respect to currency, we are increasing our U.S. dollar exchange rate assumption for Q2 to $1.40 per euro but we're maintaining the $1.35 rate for the rest of the year. Second, we operate in a number of currencies which have had meaningful weakness and we are estimating a EUR 12 million effect. In total, currency changes have a negative impact of about EUR 15 million, while we are writing Accelrys at an estimated EUR 85 million contribution. Net-net, we are moving the midpoint of our range at EUR 17 million to EUR 2,280,000,000 to EUR 2,300,000,000, representing total revenue growth of 14% to 15% in constant currency. At EPS level, we are narrowing the range by EUR 0.05 to EUR 3.45 to EUR 3.50 per share and this is coming from EUR 3.40 to EUR 3.50, representing an increase of 6% to 8% excluding currency effects or 10% to 11% without currency effect and tax increase. Specifically, currency has an estimated impact of EUR 0.26 and the tax rate increase has an impact of EUR 0.11. Based upon our currency and acquisition assumptions, the non-IFRS operating margin range is now between 29.5% and 30% and this is from 32% to 31%, previously. Keep in mind that in an organic basis, the non-IFRS operating margin we are targeting is 33%. In summary, the first quarter was an encouraging quarter, confirming some of the key positive signs we shared with you in February. We benefited from an improvement in new licenses performance one quarter early and we expect this level of performance to maintain itself in the second quarter and accelerate further later in the year, thanks to our 3DEXPERIENCE platform and V6 architecture. At the same time, we do face some headwinds, which we anticipate will continue in currency movements and tax rates. Let me now turn the call back to Bernard.
Bernard Charles: Thank you, Thibault. During 2014, we are focusing on increasing the value we provide to our customers. The examples we have discussed today well illustrate the benefits we believe are helping contribute to top line growth for our clients. With these numerous customer examples, our goal is to replicate these successes locally around the globe with our sales channels and with increasing contribution from our system integrator partners. We are also focused on strengthening our execution by improving our operations throughout the company. In local empowerment, in global support, in operational improvements, visibility to our organic -- visible to our organic operating margin growth and in the additional initiatives to ensure that with the recent M&A activities, we have the right level of support, post-closing, to help our new colleagues and partners to leverage in a more timely fashion, the mutual benefits that brought us together. And finally, we are also focused on accelerating our revenue growth as we broaden our presence in the PLM on 3DEXPERIENCE markets. Thibault and I would to be happy to take any questions now.
Operator: [Operator Instructions] The first question comes from the line of Michael Briest from UBS.
Michael Briest - UBS Investment Bank, Research Division: Just a couple of follow-ups from this morning. Thibault, I think you said to me afterwards that services is probably down about 10% organically and if I take that into account, it suggests that the acquisitions did about EUR 18 million of services revenues and about EUR 8 million products. Is that about right, about EUR 26 million in total? And then I'm just wondering, were they profitable at all? If I sort of back out your margin dilution from acquisitions, it seems as though they kind of made a profit in the quarter and I'm wondering for the full year, what sort of profit margin you're expecting them to actually make, given the dilution of over 200 basis points?
Thibault de Tersant: Yes, Michael. On your latter question, even if services are profitable, the ones coming from acquisitions, they obviously are not at our average margin level, so they are dilutive and this is why there is this margin dilution overall that I mentioned. On the contribution on services coming from acquisitions, I think that your computation is right, yes. And by the way, the improvement in gross margin was not just coming from the acquisitions and particularly of course, RTT, but also from the improvement we have been doing in our organic services. The fact that they are slightly down, by the way, is completely consistent with our policy of relying upon integrators more [indiscernible] and we don't have to compete with them. And of course, with the level of go lives in Version 6 architecture that we are doing, we don't need to be as involved as we were before in these deployments, which were formerly a first of a kind deployment.
Michael Briest - UBS Investment Bank, Research Division: Okay. And then in terms of CATIA, I think we discussed that as well. Just could you give a bit of an indication of how the regions performed? I think you said that Asia was strong, but the Americas and Europe, not so good, it was at plus 1. So was it declining in the other markets? And how do you think it's going to progress through this year in terms of quarterlies?
Thibault de Tersant: Asia was very strong for CATIA, that is true from a new license unit standpoint. The other regions were weaker, and as mentioned before, the slight decrease we have in rentals is not in Asia because these large customers, which are based upon usage tracking and we're actually dispatching in their engineering department, is the factor, driving factor of the evolution of the rental amount. These are mainly in North America and also to some extent, to a smaller extent, in Europe. So Asia was still our region for CATIA, and the 2 others, we are not yet satisfactory. But as I've said before, this morning, I think we have enough growth drivers with CATIA to regenerate growth with furthering our Version 6 deployments with, of course, the ratification in industries and growing countries and finally, also with embedded systems, of course.
Michael Briest - UBS Investment Bank, Research Division: And then just finally for me, in [indiscernible], I think you said in Q4, it was about a EUR 4 million headwind. Should we be assuming that it's going to be EUR 12 million or so for this year?
Thibault de Tersant: Yes, absolutely. It's a relatively stable contribution by quarter in [indiscernible].
Operator: The next question comes from the line of Jay Vleeschhouwer from Griffin Securities.
Zachary R. Ajzenman - Griffin Securities, Inc., Research Division: This is Zack Ajzenman in for Jay. Our first question, is it reasonable to expect that V6 could become majority of new PLM license revenues by 2015?
Thibault de Tersant: Can you repeat please? I'm not sure to have understood.
Zachary R. Ajzenman - Griffin Securities, Inc., Research Division: Sure. Is it reasonable to expect that V6 could become the majority of new PLM license revenues by 2015?
Thibault de Tersant: Is it reasonable? Should we expect it? I think it's very reasonable for 2016 and has to be seen for 2015.
Zachary R. Ajzenman - Griffin Securities, Inc., Research Division: Okay. Was the Q1 new license revenue driven perhaps by 1 or 2 large orders or any early business? And could you comment on new license results for products other than ENOVIA?
Thibault de Tersant: Yes. So no, we didn't have any very large or mega orders in first quarter. This has been the case now for multiple quarters. It's the new habit of our customers to not give us mega orders, but order as they go and as they need licenses. So there was nothing unique in first quarter at all. And so new licenses were particularly strong. For ENOVIA, we indicated that they were up by 55% and in total, the increase was 8% as we reported. So ENOVIA was truly the stellar brand for new license revenue in this quarter followed by SIMULIA. But for SIMULIA, I want to warn you that the new licenses is a smaller proportion of the total SIMULIA revenue because by far, the majority of our customers are renting SIMULIA licenses and not buying them. So new license revenue for SIMULIA is just a small portion of less than 10% of the revenue. However, it was up very significantly in this first quarter.
Zachary R. Ajzenman - Griffin Securities, Inc., Research Division: Okay, next question. What are your expectations for rentals and as well for the new cloud offerings such as mechanical, conceptual and similar offerings down the road?
Thibault de Tersant: Well the expectation for rentals is after the bump in the road is for rentals to continue to increase, and we believe there are a few new industries where they are going to be popular. I think that the proportion in our index [ph] channel will probably continue to build up because it's going to be now helped by the availability of our processes in the cloud, which are essentially an equivalent business model to rentals. So for these reasons, we should see the rental/yearly service charges on the cloud continuing to ramp up after this bump in usage.
Zachary R. Ajzenman - Griffin Securities, Inc., Research Division: Okay, and last question from us. Could you update us on Gemcom, Exalead in net buys [ph] in Apriso in terms of customer adoption and new vertical market affects?
Thibault de Tersant: So, GEOVIA, which is the new brand name of Gemcom, is still facing the crisis in raw material prices and so there was a reduction in new line openings, but for that reason, which will not last forever, of course, but has been impacting us for the last quarters. However, the interest for a more integrated solution that would become a 2-enterprise solution based on the 3DEXPERIENCE platform is higher than ever. So I think that the activity with very large accounts in mining, to get such a holistic solution is increasing and very encouraging for GEOVIA. For Apriso, the pipe is very good. I mentioned earlier that the first quarter is not the primary focus in terms of new license revenue because they are more on a yearly kind of business closure with customers. But the pipe is very healthy, the solution is very good, and so Apriso should deliver good results in 2014. Exalead, we are releasing and have released 2 applications on the Exalead side which are driving a lot of attention, and so there is also a very healthy pipe for Exalead going forward.
Operator: [Operator Instructions] The next question comes from the line of Derric Marcon from Societe Generale.
Derric Marcon - Societe Generale Cross Asset Research: I've got just a very quick question. The first one, can you comment the performance of emerging markets? Usually, you give us the year-over-year performance constant currency for software or even license revenue. The second question is related to Accelrys. Have you seen -- did you have seen any change in the churn rate of Accelrys since the proposal of acquisition has been made public? And my third question, can you, Thibault, quantify the slippage of the mentons [ph] revenue you experienced in Q1? And do you expect 100% of that to be catch up in Q2?
Thibault de Tersant: Yes. So Derric, emerging markets were up in percentage in our total revenue by a little bit more than 0.5 points, from 12% to 12.6%, if my memory is still okay. Accelrys, we did not see a change in buying behavior after announcing the transaction, so there is nothing sinister to report here. And the maintenance of revenue, the delay in orders was essentially EUR 7.5 million, of which EUR 6.5 million are already booked. I want to warn you that last year, last year, we had a slippage of EUR 6 million, so comparing Q2 to Q2, the increments coming from the slippage in the first quarter is, of course, much less than the EUR 7.5 million.
Bernard Charles: Do we have other questions?
Operator: There are no further questions at this time, sir. I'll turn the conference back to you.
Bernard Charles: Okay. So as you may notice to all the pieces that we have been assembling in the last 18 months or 2 years are really aimed at serving a very consistent, comprehensive approach to the market of IT industry solutions experiences to the market in the 12 industries we serve, creating a platform which can really focus on all the 4 directions that we have set up in the compass that is becoming the symbol of that platform, collaborations with the simulation and of course information improvement. So we believe that this is creating a new landscape for the industry, a new set of possibilities for the customers. So we are on a good start for Q1 and we need to confirm going forward that this can be scaled and adoption can be done. With that, thank you very much for all of you to be participating to this call and to be present for some of you to the conference this morning. And I think we have a Capital Market day on June 13, 2014, at the headquarter. So we will welcome you to give you a visibility about our mid-year plan. And once again, thank you and don't hesitate to call us back for more information, if you need. Thank you very much, have a good day.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you, all, for your participation. You may now disconnect your lines.